Operator: Ladies and gentlemen, thank you for standing by, and welcome to Papa John's First Quarter 2020 Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker, Mr. Steve Coke, Interim Principal Financial and Accounting Officer. Please go ahead, sir.
Steve Coke: Thank you. Good morning. Joining me on the call today is President and CEO, Rob Lynch. Rob and I will have comments about our business and provide a financial update. After the prepared remarks, both of us will be available for Q&A. Our discussion today will contain forward-looking statements involving risks that could cause actual results to differ materially from those statements. Forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our SEC filings. Please refer to our earnings release and the Investor Relations section of our website for a reconciliation of non-GAAP financial measures discussed on this call. Finally, we ask any members of the media to be in a listen-only mode. Now, I'd like to turn the call over to Rob for his comments. Rob?
Rob Lynch: Thank you, Steve, and good morning, everyone. First, I'd like to say that I hope everyone on this call and their loved ones are also healthy and safe. The entire Papa John's family extends our deepest sympathy to those around the world who have been directly or indirectly impacted by COVID-19. We're also profoundly grateful to everyone working so hard on the frontlines to keep us safe and healthy. I want to begin this morning's call with some detail on the progress we made in Q1. It provides important context on our company-wide transformation and the headway that we are making with our long-term strategic priorities. Both of which have accelerated during the pandemic. I will go on to discuss how COVID-19 has impacted our brand, our team, our franchisees, and customers and how we are executing on our strategy in this new environment, staying true to our values and our purpose. Steve will then provide more detail on our Q1 results, before I conclude with closing comments about what we expect for the remainder of the year and beyond. Let’s start with our progress in Q1 before the pandemic began to have a material impact on our overall business. In line with our original 2020 outlook, comparable store sales were very strong, rising 5.3% in North America and 2.3% internationally. January and February were particularly strong in North America, with North America comp sales up 7.6% and 5.4%, respectively, driven by successful new product and marketing innovation. We continue innovating on our signature fresh dough to create delicious, high-quality menu items that build on our premium brand, add minimal complexity to our stores and our incremental versus cannibalistic of our core premium products. In February, we successfully launched Papadias, a toasted handheld alternative to sandwiches, made with our fresh dough and high-quality toppings. Papadias are Papa John's first new holistic platform that doesn't consist of pizza sides or desserts. At a $6 price point, they are quickly becoming a favorite with customers and delivering on our strategic objectives. Including increased lunchtime transactions and higher tickets. Along these same lines, in the first quarter, we also introduced our new Jalapeños Papa Rolls nationally. Spicy Jalapeños poppers wrapped in our fresh dell and baked to order, not fried. And again, as with Papadias, our team's innovation is driving high customer satisfaction and higher tickets without adding material complexity or cost to our stores. Papa John's marketing communications are also becoming much more impactful. In addition to new creative approach that focuses on our pizza and high quality food, we've shifted a large part of our marketing spend from non-working to working. By moving dollars out of high-cost national sponsorships and into working media, we're able to reach a broader range of consumers more often. We're still working closely with our local sports partners to activate in our local markets when sports return. Our ongoing strategic investments in our technology platform, especially our partnerships and integrations with three of the top four aggregators, as well as our Popper Rewards loyalty program are growing rapidly. In fact, the return on these investments has been substantial during the pandemic as I'll discuss in a moment. Taken together, these accomplishments are more proof that a companywide culture of innovation is beginning to drive business results. As we build on Papa John's premium differentiated brand, we're fending off our competitors value focused offerings, without having to discount deeply. In turn, growth is helping improve unit level economics, for the benefit of our both our company-owned restaurants and our franchisees. In Q1 median unit profitability defined its profits after food, labor, mileage and aggregator fees was our highest in over eight quarters, in spite of higher pre pandemic commodity costs. In addition to the benefit of growing comp sales, we're working very closely with franchisees and management of company stores to reduce complexity and costs while heightening quality. We continue to roll our Papa Call, our centralized order taking and customer service center across our system. Papa Call allows our stores to focus on making great pizza, not answering the phone. As a result, we're seeing incremental transactions and labor efficiencies. Not to mention better customer experiences. With that context, I'd now like to discuss the unprecedented situation we all find ourselves in today managing the COVID-19 pandemic. As well known the pandemic has had a devastating impact on the global restaurant industry. However, Papa John's has been very fortunate. Our delivery and carry out model has enabled us to remain open for business and continue serving our customers and communities throughout North America and in many countries around the world. I'll begin with North America, where we are responding to a significant need delivering food to people's homes as they shelter-in-place. As we perform this critical service, our business is performing at historically high levels. In North America coronavirus began negatively impacting our business in mid-March as large gatherings and major sporting events were canceled. Papa John's pizza is a favorite food when groups of friends and family get together to watch sports. The NCAA Basketball Tournament, in particular, typically drives a very strong march for us. In addition, pantry stocking and a surge of families cooking at home was also a factor suppressing sales during this time. Then, in April, the first month of our second quarter, we saw a wave of growth in North America. With most of the country under shelter-in-place directives and dine-in restaurants closed, delivery and carry-out food businesses became essential services. Papa John's was prepared as an organization, and our team members rose to this challenge successfully delivering 27%, North America comparable sales growth for the month of April. In fact, April was Papa John's strongest month in terms of AVs and system-wide sales in the company's 35-year history. This was both a huge responsibility and opportunity. Our loyal existing customers' dependent on us more than ever, as evidenced by 25% increase in transaction size, among Papa rewards customers. But this surge in demand is also introducing the Papa John's brand new customers, including more than 1 million new and lapsed customers in April on our digital channels alone. Strong planning and execution in North America would not have been possible without the learnings from our teams and other markets around the world, especially China and Korea, where we have been managing the impact of coronavirus, since January. This experience and preparation have enabled us to act quickly, both to protect the health and safety of our customers and team members, and to ensure that we remain open for business and continue to serve our communities. Under market conditions that truly have no precedent. We have relied on our company values to guide our decisions, a streamlined more nimble organizational structure has enabled us to act quickly, in a dynamic environment. Last fall, we articulated Papa John's five core values. People first. Everyone belongs. Do the right thing. Innovate to win, and have fun. These values along with the culture of leadership and winning that we have been building have proven to be our compass, in the uncertain waters we're navigating today. Guided by the imperatives of putting people first and doing the right thing, our central focus since the beginning of the pandemic has been to protect our team members and customers' health and safety. In Q1, we reinvested nearly half of our profit growth, back into additional benefits, bonuses and incentives for corporate team members, helping employees throughout our supply chain and in our restaurants. We've expanded our health and wellness benefits to include free virtual doctor visits for all employees and their families and increase paid time off policies. This, in addition to existing benefits of no cost mental health support, affordable health care plan options, and access to Papa John's team member Emergency Relief Fund, if and when needed. We've also worked proactively with franchisees to help them expand their team member benefits. We've enhanced already rigorous health and safety measures, across our system. In mid-March, applying what we learned in Asia, we launched no contact delivery, a complete reengineering of our ordering and delivery processes and technology conceived and executed in less than two weeks. We were the first pizza delivery company to fully integrate no contact delivery into our digital ordering channels, for a seamless customer experience, a testament to our growing culture of innovation. No Contact delivery has been a huge success with customers, driving substantial gains in our satisfaction metrics and Net Promoter scores. Securing our supply chain, especially the health and safety of our team members in our quality control centers and our QC drivers has been another intense focus since the pandemic began. Our team has worked diligently to source the difficult to find safety and protective supplies. They've also made sure that there were no disruptions to our ingredient supply chain, so our restaurants could keep up with increasing demand. Disruptions with meat or other key suppliers have not impacted our stores and based on the contingency plans that we have put in place, we don't anticipate any disruptions, to our business. We've also been fortunate to be in a position to provide jobs during this pandemic. Our national hiring campaign has already resulted in the hiring of thousands of workers displaced by COVID-19. In addition, our partnerships with three of the national delivery aggregators, which were already in place, have enabled us to scale delivery to more customers during peak times. In fact, our percentage of deliveries fulfilled by aggregators has more than doubled year-over-year, and our data shows that these transactions are highly incremental and profitable to our business. Papa John's commitment to serving our communities includes our neighbors in need, as well as our customers. Since the onset of the pandemic, our team members and franchisees have stepped up to deliver free meals to healthcare workers, first responders and families and to support organizations on the frontlines of this crisis. The Papa John's family has already provided more than 2 million free slices of pizza since March. Papa John's team members and franchisees are living our values and I couldn't be more proud to be a part of this amazing team. Now I’ll discuss our international business, which is a bit more complicated story given the variability of how countries have been impacted and responded to COVID-19. International comp sales began the year solidly ahead of our original plan. Then toward the end of January, we began to see an impact from COVID-19, as the pandemic spread from China and other markets. Not surprisingly, sales were most impacted where government restrictions forced all restaurants to temporarily close or where strict curfews were put in place. In China, many of our restaurants are located in shopping malls, which were temporarily closed by the government. Some markets in the Middle East and Latin America also face government closures or heavy restrictions on trade. However, we also saw other international markets like the United Kingdom and Korea recognize the importance of carry out and delivery businesses as essential services, and those markets performed exceedingly well. Overall, approximately 300 of our international stores or one out of seven were temporarily closed for some part of Q1, impacting comp sales by an estimated 200 basis points. This varying dynamic across markets has continued in April. As I said, overall comp sales including temporarily closed stores were at 1.4% in the month. Excluding temporarily close stores, our international comps in April would have been 12%. Behind that number, were strong double-digit gains in markets like the U.K. and Korea. Also, in China, albeit 15 of our stores have reopened. These trends were offset by approximately 375 stores and other markets that are now temporarily closed. Well government mandated temporary closures are outside of our control, otherwise strong comp sales and quick decisive actions on the leading edge of the global pandemic reflect the strong leadership of our international team. The insights they have gained in markets like China and Korea have helped them measurably to drive a coherent and successful global strategy. I'd now like to turn the call over to Steve Coke to provide more color on our Q1 results, before I discuss how COVID-19 has affected our outlook for the remainder of 2020 and beyond. Steve?
Steve Coke: Thank you, Rob. This morning, before providing details on our operating results, I'd like to begin by discussing three items; first, are year-over-year GAAP earnings; second, a change in how we are presenting temporary franchise support; and third, our adjusted earnings, reflecting this change in presentation. So let's start on a GAAP basis. In the first quarter, we reported earnings per diluted share of $0.15, compared to a loss per diluted share of $0.12 a year ago. The 27% year-over-year increase in our GAAP earnings per diluted share reflects four factors; first, a $0.31 positive benefit from special charges a year ago, primarily associated with the Starboard investment. Second, a $0.14 positive benefit primarily driven by strong North America comparable sales in the first quarter of, 2020, third, $0.4 negative impact of higher preferred stock dividends in the first quarter of 2020, compared to the first quarter of 2019, when we issued the preferred stock, and only incurred a partial dividend payment. And finally, a $0.14 negative impact due to higher planned, temporary franchise support, as part of our we win together agreement, with franchisees. Next, I'd like to discuss temporary franchise support and how we are presenting it, beginning this quarter. As a reminder, under our, we win together program, last summer we made a commitment to our north America franchisees, who were facing a significant contraction in sales, with five quarters have scheduled, temporary incremental support and marketing and royalty relief. Previously, we had categorized temporary franchise support as a special charge, reflecting the unique challenges the company has had to manage over the past two years. However, consistent with the significant progress, Papa John's has made with its transformation, including continued improvements in sales and unit economics, as well as considering input from the SEC, temporary franchise support will no longer be categorized, as a special charge in either prior or current periods, as of the first quarter of 2020. This means that temporary franchise support will no longer be excluded, from the calculation of adjusted earnings per share. With that, let's now turn to adjusted earnings. Adjusted earnings per diluted share was $0.15 on the first quarter of 2020, down $0.4 from a year ago, reflecting the benefit of higher comparable sales, slightly more than offset by higher temporary franchise support and higher preferred dividends, as I just described. Based on the prior way we reported adjusted earnings per diluted share, had we continue to include temporary franchise support and special charges, adjusted earnings per share would have instead increased $0.10 or approximately 32%, compared to the first quarter of 2019. The incremental $5.8 million in temporary franchise support, in the first quarter of 2020, represents a $0.14 per diluted share impact year-over-year. During the second and third quarters of 2020, we anticipate spending between $15 million, and $20 million on temporary franchise support, consisting of $10 million in incremental marketing investments, and the remaining amounts in royalty relief. This compares to approximately $42 million we spent in the last three quarters of 2019, upon the conclusion of the program, in the third quarter of this year, we do not expect any further temporary franchise support, under the we win together program, to be needed in the fourth quarter or next year, especially given our return to positive comparable sales growth. On our Investor Relations website, we have provided a supplemental table reconciling GAAP and adjusted earnings, under our new presentation that does not exclude temporary franchise support by quarter, by quarter, since the third quarter of 2018. Alongside this we have also provided the amount of temporary franchise support provided each quarter to ensure investors can reconcile to our previous presentation. Moving now to more detailed operating result. In the first quarter of 2020, pretax income on a gap basis was $11.5 million, compared to a loss of $800,000 for the corresponding quarter in 2019. Looking at sales, consolidated first quarter revenues increased $11.5 million, or 2.9%. Excluding the impact of re-franchising 46 domestic restaurants and a quality control center in Mexico in 2019 consolidated revenues increased approximately $23.1 million, or 6%. The increase was largely due to positive comparable sales in North America, and higher commissary sales, driven by increased commodity costs, which are passed through to our franchisees. Now, for our business unit results for the first quarter. Domestic company-owned restaurants pretax income increased $4.1 million, primarily from positive comparable sales of 6.1%, partially offset by higher commodity costs, primarily for cheese. North America franchising pretax income was $1.6 million higher driven by 5.1% increase in comparable sales.  International pretax income decreased $800,000, reflecting lower development fee revenue, higher general and administrative costs, and the unfavorable impact of foreign exchange rates. These factors were partially offset by higher royalty revenues from increased units and higher comparable sales. Unallocated corporate expenses increased $4.6 million as anticipated due to the $5 million incremental marketing fund investment included in temporary franchise support, higher variable incentive cost in higher legal fees. These increases were somewhat offset by a decrease in interest expense, due to a lower average debt balance and lower interest rates in the quarter. Income tax expense was $2.5 million for the first quarter of 2020 for an effective tax rate of 21.8%. Our free cash flow, which is a non-GAAP measure that we defined as cash flow from operations, less capital expenditures and dividends paid to preferred shareholders was approximately $24 million in the first quarter of 2020, as compared to $3 million a year ago. The increase was primarily due to higher net income and favorable changes in working capital items, including the timing of payments associated with our national marketing fund. We paid a cash dividend of $10.7 million to our common and preferred shareholders during the first quarter of 2020. Subsequent to the first quarter, on April 30 2020, our Board of Directors declared second quarter cash dividends of approximately $10.7 million to be paid to common and preferred shareholders. The second quarter common stock cash dividends will be $0.225 per common share. Papa John's continues to have sufficient cash on hand to support our current operations, as evidenced by our $24 million in free cash flow generated in the first quarter. We also have access to approximately $350 million through our credit facility, should we need it. Lastly, during the first quarter, we opened 16 restaurants in North America and closed 19 restaurants for a net reduction of three restaurants. We also opened 18 international restaurants and close 32 restaurants for a net reduction of 14 restaurants. These changes in our unit count exclude any temporary closures as a result of COVID-19 pandemic. I'll now turn the call back over to Rob for some final comments. Rob.
Rob Lynch: Thanks, Steve. Finally, to summarize and wrap up, Papa John's started 2020 with great momentum, which has continued into April. Our new products and marketing have performed very strong. Our innovation pipeline continues to produce great ideas that deliver results. Our franchisees, owners of small local businesses are re-establishing a strong foundation for future growth and success. And through it all, we have kept our team members and customers safe. Stay true to our values and continue to deliver safe, high quality, delicious food. The COVID-19 pandemic has caused deep harm and sadness to individuals and communities across the globe. But it has also inspired heroism from many in response. Again, I want to acknowledge Papa John's team members and franchisees, because of their tremendous effort, we are meeting our commitment to serve our communities, and will emerge from today's challenges, a much stronger organization. Further along our path to becoming the world's best pizza delivery company for the benefit of all of our stakeholders. I'd like to thank our shareholders and everyone on this call for their interest in what we're doing, and for their continued support. With that, I'll turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question will come from Peter Saleh with BTIG. Please go ahead.
Peter Saleh: Great. Thanks and congrats on the quarter. Rob, the April comp was pretty impressive, really impressive at almost 27%, so far. I'm just curious as to when you think about that, is there any way to parse out, how much of that you feel is coming from stay-at-home orders, how much of that may be coming from Papadias. Just trying to get a sense of how much of that is more of a sustainable number and what the really underlying run rate figure looks like.
Rob Lynch: Hi, Peter. That's great question. We've spent actually a lot of time thinking about that exact question, and I just would call your attention to, we were tracking at about 7% comps in Q1 prior to the third week in March where we started seeing some slowdown from the initial shelter-in-place behavior. People were pantry loading. People were adjusting. The sports had shut down. People weren't able to have birthday parties. Those types of things. So we saw an initial slow down and we feel like that cost us about 200 basis points in sales in quarter one. So, lots of momentum, even without COVID-19 impacting our domestic business. Obviously, April, at 27% has been a very different trajectory and the way we've looked at it, is we believe that COVID represents probably right around 10% of that sales growth. It's consistent with what we've seen in the other delivery restaurants that have stayed open. They've seen similar types of trends where they didn't have that type of growth prior to April, and so that's what we're seeing from COVID and we would expect that to continue. We believe the tail on this thing is going to be maybe a little bit longer than then folks might expect, even when states and communities open backup, we think the consumer behavior will still be conducive to large demand for delivery business. The other you know 15% to 17% is really a compilation of a lot of things we talked about the call. We're seeing a huge positive impact from our innovation. We're finding it to be very incremental. People are adding Papadias on top of pizzas. It's not replacing pizza. So we're seeing a lot of check growth from that. We're also seeing our aggregator business has doubled. It's now stands at 4% of our business coming in from aggregators. And that continues to be very incremental for us. And those are full price tickets. So there are both new customers coming in as well as check growth coming from those transactions. And then lastly, we had a big drag on the business last year from the relaunch of our loyalty program. There was a lot of cleaning up to do in regards to the amount of discounts and the amount of points that were being used. At this point, our loyalty program is a huge asset for us. We've got over 16 million customers in the program. And our check growth is very healthy from those transactions. So it's a compilation of all of those things. But I really can't understate or overstate just how much our team has really come together at the restaurant. And we're operating more efficiently. Our customer service has never been better. And we're able to staff with all the new jobs, that we've hired on and created, we're able to staff appropriately. And so, the throughput in our restaurants is improving as well. So we're seeing kind of the true benefit or the true output that our restaurants are capable of, when we drive the kind of demand for our products that we have over the last month.
Peter Saleh: Great. Good to hear. On the restaurant level margins it looks like you guys had another, good quarter there margins expanding. Can you talk about some of the initiatives that you guys are putting in place to permanently cut to improve the margins, with the call centers, and maybe some discussion around the work because their turnaround insurance, some of the other initiatives to those restaurant level margins more permanently.
Rob Lynch: Yes, for sure. I mean, we've we have been able to utilize our labor, a lot more efficiently in our restaurants, through the implementation of both our Papa call center and a lot of our company restaurants. And then, we've introduced some new processes, and some new equipment, that allows us to more effectively utilize our labor. So, labor has been a pickup for us. We've also worked on the middle of the P&L. We've cleaned up some of the RNM line items. We're just doing things more effectively, more efficiently and our insurances improving. We've seen improved insurance rates, particularly on the company side, really over the last six months, as we've instituted, really what I would call a culture of safety throughout our restaurants. We have now have technology which allows us to assist our drivers and driving more safely. And they're rewarded for that behavior. And we're able to track that behavior. And really we've just seen claims come down. And as a result of that, we're starting to see some savings. And we would anticipate that, the reduction in claims should help us on the premium side to moving forward. So we see future benefit on our insurance line items as well, but as you know, in almost all restaurant businesses revenue is a flywheel for margin. And as we, as I mentioned in Q1, we're tracking along at 7% comp sales growth. That is going to help our margins across the Board. And so, as we get into April and Q2 as we see this 27% comp sales growth, you know, where -- our restaurants are going to continue to operate very efficiently and productively. 
Peter Saleh: Great. And then just a last question and I'll hop off. On the franchisee side, can you just talk about the franchisee health and maybe give us a sense of where their margins are? I mean we see your company on margins are the franchisee margins. Do they mirror the company margins in terms of the improvement that you guys have been seeing in terms of overall margins, trying to understand franchisee health and maybe how that may relate to their appetite to open more restaurants in the coming quarters and years?
Rob Lynch: Our franchisees are incredibly happy right now. The health of their restaurants, is the best it's been in the last three years, and you know, we are actively working right now to build plans and incentive structures and other agreements and partnerships with them to accelerate development. We you know as Steve called out in the -- on the call on the release that you know, we were moving forward with the -- we win together. Franchisee support for the Q2 and Q3, that's a commitment we made. The majority of that support is in the marketing fund which really benefits us right now because we feel like we have a lot of great news to talk about, both from an innovation standpoint as well as the great work that our teams are doing out in the communities to take care of people during the shelter-in-place challenges. And so, but at the end of Q3 we are in great shape to come out of that. We are not planning on any subsidization or support moving forward. And that's because our franchisees are in great shape, better shape than they've been in many years. 
Operator: Thank you. Our next question comes from Alex Slagle with Jefferies. Please go ahead. 
Alex Slagle: Hey, guys. Thanks. Everyone is doing okay. It's fun to get your thoughts on the ops and discuss, sort of, how you've been able to manage delivery times and limit delays both in delivery and carry out turnaround times. Just any issues with inventory management given all the demand volatility, obviously surprising, the strong, strong growth we’ve seen here.
Rob Lynch: Hi, Alex. Actually it's kind of the opposite. We're actually, we're operating better, and that's because we are able to staff, our restaurants. I mean we've created thousands of jobs and hired thousands of people over the last six weeks. And in doing so we're able to staff the restaurants and make sure that we are able to handle this increase in demand and with any operating business whether it's a factory or a restaurant, you know as your demand goes up and you're able to appropriately staffed to handle that demand, you just get more productive and you just get better. And so the institution of the implementation of no contact delivery has really been a well-received platform for our customers. And we've seen the power of going above and beyond to take care of our customers. And we're seeing, you know, 1000 basis points improvement in our customer satisfaction scores, I mean, just from the implementation of that. And we're seeing the pride flow through all the way down to our delivery drivers and doing work that's important. And so the morale has never been higher in our restaurants. Jim Norberg, our Chief Operating Officer has really kept his nose to the grindstone, if you will, he's been out there in the restaurants with the teams, making sure that we're meeting their needs and making sure that we're supporting them, and they feel like we've got their back and they feel like they're doing really important work. It's helping their community. So, morale is incredibly high. When you see morale very high, you see productivity go up. On the supply chain side, we got out in front of it. I mean, we knew that once we were going to continue to be able to operate that our model would be similar to what we had seen in Korea. And so our teams went very -- moved very quickly to secure incremental inventory to the point where we went out and bought a lot of refrigerated trucks that we could put in our DCs so that we could hold more inventory and we got scared because the first two weeks of that in March, we saw dip with the pantry loading and we were concerned that we may not see that spike in demand that we had seen in Korea and in the U.K. And then April came and we saw it and we were prepared. And our team has not only bought more inventory, we've secured more suppliers and make sure that we have redundancies in our supply chain to be able to handle what we anticipated to be a bit of a challenging supply environment through this -- these unprecedented time. So, our supply chain is operating at a high level. We have redundancies in place and we feel great about our ability -- our business continuity moving forward.
Alex Slagle: Great, that's helpful. And if you could provide some more texture on the check first traffic trends in April and with a mix of loyal rewards guests first new and lapse customers looks like?
Rob Lynch: Yes, we feel great about that mix. The mix is actually about 50/50, check and trans. And the trans are really attributable to more customers. It's -- the frequency is up a little bit, but the majority of the growth and transactions is new is new customers. We've seen over a million new customers in April come into our brand and we haven't seen that in a long time. It was actually just the opposite. We had lost a lot of customers back in 2017, 2018 even into 2019. And so it's great. We're winning back customers. I always say adversity makes you better or worse, and it's a choice, and this adversity has really helped our team accelerate a lot of the cultural development that we -- we'd call it out back in Q4 of 2019. And I think the work that we're doing as a team, the pride that we are showing and -- that our employees have is really helping us to win back a lot of customers that we may have lost in the past. On the check side, its healthy check growth. We've taking almost no base pricing at all in 2020. We're really seeing it flow through from a mix standpoint. We're seeing additional items being added to orders and that's really Papadias and Jalapeño Popper. Those two initiatives have been very incremental and are driving a lot of check. And then as I mentioned, our loyalty program, we're up to about 16 million customers at this point. And those checks are increasing as well. So, you know, where we used to have a lot of discounting last year, trying to solve some of the problems that the brand was facing in Q1 of 2019, we haven't done that this year. We, as you know, we stayed it back into Q4 again, we are focused on innovation and focused on our brand, delivering better quality and positioning ourselves in the marketplace as such versus kind of commoditizing the category and chasing the discounts, which hurt our unit economics and really are consistent with the quality and investments we make in the brand, so all of those things are driving really healthy check growth, and we're seeing a lot of new customers driving transaction growth.
Operator: Thank you. Our next question comes from Chris O'Cull from Stifel. Please go ahead.
Chris O'Cull: Thanks. Good morning, guys. Rob on the last call you mentioned plans for several new product introductions this year, and I know you launched, some earlier this year but -- do you still believe product news is necessary, or do you believe you can save some of that product news until later in the year next year even.
Rob Lynch: Chris, I don't know if you're listening to our executive team calls or not but that's exactly what we're talking about. Every day you know we have actually already put a hold on some of the innovation here. You know we were planning it at the outset of the year to have already have launched another new item, and we've chosen not to do that. We've chosen to focus on our core business, we've chosen to make sure that we are supporting our operations with the increased demand we're seeing, making sure that we're not, you know, having to distract them, to train them up on new products and do those types of things. So, we've -- it's really been a wonderful situation where we have the luxury of making sure we're executing our core business as perfectly as we can and while we're doing that, we're still developing, testing, validating new ideas. You know we have a pipeline of innovation ready to go when we see the strategic opportunity to launch it, so it really is a great position to be in.
Chris O'Cull: I know Rob there's been a couple of states that have lifted their stay-at-home mandates including Tennessee where I'm based. So can you describe how sales may have changed as those mandates have been lifted?
Rob Lynch: We've tracked that closely, we wanted to understand that. And we haven't seen sales trends change really, and in fact they're very consistent and that may be a function of some of those dates I know a lot of, although they're open a lot of the restaurants, particularly the dine in restaurants have not reopened yet, you know, as that continues that situation continues to evolve, we'll continue to track it closely, but as of right now in states like Tennessee and Georgia, and Texas, we have not seen a drop off in our business.
Chris O'Cull: That's great. And then just lastly, is the system seeing any interest from outside capital that could help fuel unit growth.
Rob Lynch: Yes. I mean I can expound on that but that's the short answer, there's actually a lot of excitement around the brand right now and we're having active conversations with, you know, people that are interested in becoming part of the Papa John's family.
Operator: Thank you. Our next question comes from Alton Stump with Longbow Research. Please go ahead.
Alton Stump: Yes. Thank you. Good morning, guys on the first quarter and the great start here so far in April, Steve and Rob. I just want to ask, as you mentioned Rob that, like you think there's about 10 or so percent lift, from COVID here in April, obviously still implies a pretty big step-up from the 7% growth they saw in the first two months to up mid to high-teens, how much of that do you think is new product based versus better marketing or any kind of sort of if we're to cut piece that out, how much of that upside do you think, in your core business is coming from innovation.
Rob Lynch: When -- that's great question Alton. When a restaurant company is hitting on all cylinders, it's really a beautiful symphony of all those things. It really takes great upgrade operations are the foundation. If you're not running great operations, it's really hard to execute innovation, with excellence. And if you have -- when you have great innovation, if you don't let anybody know about it or communicate it in a compelling engaging way, that can influence behavior and help people change their habits and come in more often, then you can have all the great innovation in the world, but nobody knows about it and nobody cares about it. And I would say that right now we've spent the last eight months, building that model. Jim came in about a month before I did and that was that was a blessing for me as a new CEO to have such a great Chief Operating Officer, come in and be here. And he has really transformed the way we're operating in our restaurants. And we are now a great operating company. And we are great franchise or that is helping our franchisees operate more efficiently and so when you have that, you can really unleash the innovation pipeline. And we're seeing that happen. And then, our marketing, we've transformed that marketing, that what's our new Chief Operating or Chief Commercial Officer is rebuilt, a strategy, that's really focused on our food. And getting back to the idea of better ingredients and what that really means to our customers, not just on our pizza, but in our innovation. And so all of our innovation is leveraging all those ingredients and making it more efficient and productive, so it really is all those things coming together. And so you can parse it out, but you can't really say, this much is innovation and this as much as marketing because they support each other and they build on each other.
Alton Stump: Excellent. Thanks Rob and then just back to the last question about, people that are I'm sure asking about investing in the system. How quickly do you think that on your growth, it was speaking could turn out. Obviously, I'm sure everybody's focusing on just kind of this huge increase in demand that we're seeing short-term. And you're probably not thinking about how to use at the moment. But is that back half of this year story potentially or is this yet pickup or is more kind of 2021 do you think they'll we see either new money and our existing people start to add, use your system here in the U.S.
Rob Lynch: Yes, a lot of that is going to be dependent upon, when the government to get back to operating in a normal way. I mean right now and absolutely appropriately, their focus is on making sure that they're keeping their community safe. And making sure that they are doing everything that they can to protect the citizens and get through this pandemic. And so, as you know, they're -- it's a right now development is kind of at a standstill, because you can't get permits, you can't get all the things that you need to do to buy real estate and develop real estate. So when that returns, when, we get through this situation and return back to normal operating procedure, I think we will be incredibly well positioned to move forward. As you know, we just hired Amanda Clark, who's our new Chief Development Officer we haven't had a Chief Development Officer in the past. She came to us from Taco Bell where they've, a ton of restaurants over the last five years. And, she's building the plan right now to be ready to activate when we're able to do so. So, I'm hopeful that we're able to get back, developing restaurants in 2020, but it's really going to be dependent upon, when the governments are set up to allow us to do so.
Operator: Thank you. Our next question comes from Brett Levy with MKM Partners. Please go ahead.
Brett Levy: Great. Thanks for thanks for all the information. Thanks for taking my call and again I hope everyone is well over there. Three unrelated questions. First, if he could just parse out a little bit more on the comps anything you've seen regionally day of the week day Park. Then on the franchise side, obviously they're ecstatic about the comp levels. But, what have you heard in terms of percentage of the bucket that's gone after PPP either out of need or just out of a precautionary standpoint and what are their debt levels look like? And then just how are you thinking about the investment cycle on the corporate side, given that, while there's a tremendous amount of operational dysfunction out there. You all seem to be running pretty well and had the cash to really double down on certain technology and innovative things that are off the menu? And I’ll stop there.
Rob Lynch: Okay, great. Thanks, Brett. On the cost we are seeing a little bit of variability. I mean, the numbers, we're double-digits pretty much, during April we were double-digits pretty much every day, but we see a little bit more strength, Monday, Tuesday, Wednesday, Thursday than we do over the weekend. We do see that -- I mean, the thing that we haven't talked about as much is, 27% comps when we have no sports, and we have no birthday parties and we have no social gatherings. So, a lot of those things are impacting the weekend. So, the weekends are still extremely strong, but relative to the weekdays, the comps aren't as great. So I hope that gives you a little bit of texture. On the franchise PPP, when COVID first started taking hold in North America, and the federal government announced the PPP program, our sales as a system were declining given as I spoke the pantry loading and what have you in late March. And so we were exploring actually programs around PPP as a company and looking at, should we be taken advantage of this if our business is going to be in decline. And as we looked at it, we decided as a company, not to do that and that was a decision we made because we didn't feel like it was in the spirit of the law, we didn't feel it was the intent of that plan is to help small business owners survive the challenges that they're facing in this dynamic. Our franchisees are small business owners, and they are independent small business owners and so they each are making the decision on whether or not they're going to take advantage of that program given their individual situation. As you know, our system has been challenged over the last couple years and a lot of the franchisees in Q1 were just starting to see things turn around and get the comps and the unit level economics where they needed to be. So a lot of them have probably looked at the PPP program as an opportunity to help get them healthier than they would have been otherwise. And so, we're continuing to help them through all that, but that's a decision, they're going to need to make on their own. In terms of their healthiness and their debt levels, as you know as I stated earlier, our franchisees are extremely happy. The Economics of our franchise restaurants are better than they have been in many years, and we're actively talking to them about growth, as opposed to sustainability. And so, the dynamic that we talked about in Q4, where there was still some concern around what's going to happen when we went together funding goes away. We're not concerned about that at this point. And then your last question around our corporate capital allocation and our investment opportunities. Yes, we are performing. We're in a different situation than a lot of other restaurant companies. We take that responsibility seriously and so right now, we are focused on taking care of our employees and taking care of our customers. And as we mentioned, we've invested half -- in Q1 we invested half of our profit growth back into benefits and bonuses and other types of incentives for our employees to make sure that they know that we are supporting them and make sure that our restaurants are set up to take care of our customers and they're in the communities in a time of need. So, right now, we're evaluating what that looks like moving forward. But we're trying to make sure that this unique situation that we're in where we have the ability to help our communities we're doing the right thing by our customers and our communities with the profits that we're making from that.
Operator: Thank you. Our next question comes from James Sanderson with Northcoast. Please go ahead.
Jim Sanderson: Thank you and congratulations on a great start to the second quarter. I had a question focusing a little bit more on franchise health. Just hoping you could outline a little bit more how ending royalty relief in the third quarter will flow through the franchisee income statements in forward. What I'm trying to understand better is how these funds have flow through, what percentage of franchisees have been impacted and how we think they'll come out of this starting 2021.
Rob Lynch: I can let, -- Hi Jim, how are you doing?
Jim Sanderson: I'm great.
Rob Lynch: I could let Steve talk to the particulars about how that funding flows through their P&L. But I mean, in general, the subsidization that -- that this we went together. About 65% of it is marketing investment. So we are really focused on driving growth. The lot of the funding is going into increased marketing to continue increase comp sales growth. Less than 50% of it is franchise subsidies. So there are not a lot of franchisees in our system right now who are staying open because of any type of royalty relief that we're giving. It is a nice to have at this point and once again, we made the commitment. So, we're continuing to deliver on that commitment, but the revenue growth that our system is seeing far and away, you know, way more impact and positive impact to their P&L than we went together funding that we have in place. So I hope that answers your question.
Brett Levy: It does. Just following up a little bit more on new unit growth and going into the end of the year will -- your operators being in a stronger position to be able to finance their own growth even now these royalty programs start to subside?
Rob Lynch: Yes, absolutely. I'm sorry -- I thought you're done.
Brett Levy: No, that's great. Thank you very much.
Rob Lynch: Yes.
Operator: Thank you. Our next question will come from Lauren Silberman with Credit Suisse. Please go ahead.
Lauren Silberman: Thanks. Rob, how are you thinking about the broader pizza landscape, as the fragmented category is probably the largest portion of independent mom-and-pops? So what are you seeing in the competitive environment and then do you expect greater consolidation.
Rob Lynch: Yes, hi Lauren, I hope you're well. I -- a lot of key -- even mom-and-pops pizza shop are delivery businesses and have been able to continue on delivering pizza. So I think the pizza industry in general is doing, especially, delivering pizza is doing great. I think that what this challenging -- unprecedented situation has shown is that the pizza delivery business is -- as the kind of business that can persevere through these types of challenges. And our business models are set up for this, for food away from home. And as that -- that behavior continues to evolve as people get more and more used to not having to go out and get their food, we will benefit from that as well the whole industry both mom-and-pops as well as delivery -- as our national delivery players calls. On the dine-in side for the pizza I think they're facing a lot of the same challenges as the dine-in -- casual dine-in and other dine-in restaurants. So if there is consolidation -- if there is kind of a shakeout from this in the pizza industry I would see it being consistent with the players that focus more on dine-in as oppose to discernment between mom-and-pops and national players.
Lauren Silberman: Great. And then what portion of the system is covered by third-party aggregators and to what extent has the presence benefited the comp? And then are there opportunities transition aggregator customers directly to Papa John's platform?
Rob Lynch: Yes, I will answer the last one first. I don't know that that's necessary. I mean, it's great if they want to come in and be a part of our loyalty program because they're able to -- there's obviously benefits that they derive from that. But in terms of our economics, we see the economics associated with a -- an aggregator transaction is profitable is kind of our organic transaction. So we can continue to do very well by growing on the aggregator platforms. And we have the opportunity to do that. You know we're with the three of the four largest aggregators in the United States, and of those three they cover about 70% of our system. So we have, I think, about 70% of our system up and running and integrated with those platforms. We also leverage and partner with some of the local aggregators. Those are the three national aggregators that we always talk about. But you have other players in New York City and you have other players in -- on the west coast, or in a lot of cities, specific regionals that do a lot of business and our franchisees and our company operations in those areas are partnering with them as well. In terms of the amount of comps attribute -- the amount of the comps that are attributable to aggregators, aggregators are about 4% of our business right now, up from less than 2% same time last year, and we see significant amount of that being incremental. So you -- that -- what that equates to is, call it, 1% to 2% of our comp growth coming from that aggregator growth, but as that continues to -- as that continues to improve and grow, we see that as being incremental comp growth opportunity.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Rob Lynch for any further remarks.
Rob Lynch: Well, I just want to -- first and foremost, thank you all for your participation today for calling in and engaging in the story that we're building with Papa John's. I hope that you found the time span fruitful and I hope that you have continued to understand our business and understand the great story that we're building, and I look forward to continuing to connect with all of you and speaking with you again on our next earnings call. So until then, best wishes, stay safe, stay healthy and thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.